Operator: Welcome to the AcelRx's First Quarter 2020 Conference Call. This call is being webcast live on the events page of the Investors section of AcelRx's website at acelrx.com. This call is the property of AcelRx, and any recording, reproduction or transmission of this call without the expressed written consent of AcelRx is strictly prohibited. As a reminder, today's call is being recorded. [Operator Instructions] You may listen to a webcast replay of this call by going to the Investors section of AcelRx's website. I would now like to turn the call over to Raffi Asadorian, AcelRx's Chief Financial Officer.
Raffi Asadorian: Thank you for joining us this afterbiib. Earlier today, we announced our previously previewed first quarter 2020 financial results in a press release. This press releases and the slide presentation accompanying this call are available in the Investors section of our website. With me today are Vince Angotti, our Chief Executive Officer; and Dr. Pam Palmer, our Chief Medical Officer. Also, on the call with us today is Dr. Christian Tvetenstrand, who is the Chairman of Surgery and Director of Trauma at Wilson Medical Center, the United Health Services Hospital, who will share his experience with DSUVIA [ph]. Before we begin, I'll remind listeners that during this call, we will make forward-looking statements within the meaning of the Federal Securities Laws. These forward-looking statements involve risks and uncertainties regarding the operations and future results of AcelRx. Please refer to our press releases in addition to the Company's periodic, current, and annual reports filed with the Securities and Exchange Commission for a discussion of the risks associated with such forward-looking statements. I'll now turn the call over to Vince.
Vince Angotti: Thank you, Raffi. And good morning, everyone. I sincerely hope you and your families are safe and well during these challenging times. We appreciate you joining our call today. I'd like to begin today's call by briefly addressing our planned acquisition of Tetraphase. We are aware that Tetraphase recently disclosed that they received and are reviewing a competing acquisition proposal from La Jolla Pharmaceutical Company. It's important to note that at this time the Tetraphase board continues to recommend that their shareholders support the acquisition by AcelRx. We commented a bit further on the La Jolla proposal in our earnings press release. Now should Tetraphase notify us that the Tetraphase board intends to consider making a change in the recommendation in favor of our transaction, which as with today's closing stock price or is the upfront consideration at approximately $23.6 million. AcelRx would have a specified period of time to respond before Tetraphase it could take such action. Further, AcelRx and Tetraphase remain fully committed to the co-promotion agreement under which both companies commercial teams have been fully trained on each other's products and promotion to an education of our respective customers has begun. Its to remember that regardless of whether the Tetraphase board ultimately chooses to accept an offer other than the AcelRx transaction, the co-promotion agreement between our two companies would remain in place, safeguarded by significant financial obligations. We'll provide additional updates to our shareholders regarding Tetraphase at the appropriate time. Now turning to our business. We recently achieved one of our key objectives which was The Milestone C approval with the Department of Defense. I'll provide details on the significance of this, I'll also update you on the impacts of COVID on our commercial team and the commercial team with Tetraphase on the co-promotion agreement. Dr. Palmer will preview some early findings on DSUVIA real-world experience and then you'll hear from Dr. Christian Tvetenstrand, a prominent surgeon and Chair of Surgery and Director of Trauma at the New York hospital where he's been collecting data on DSUVIA treated patients. Raffi will then provide an update on our financial results and the key metrics of which were preannounced a couple of weeks ago. So let's begin. We're excited to announce at the end of April that DSUVIA achieved Milestone C approval, which validates the DSUVIA's key role in modernizing the treatment of acute pain within the military. What this means in practice, is that DSUVIA is now approved for use in all of the US Army sets kits and outfits or SKOs. The approval for all SKOs was the high case in our internal projections. So this is great news and more than we had expected. Working with the military project team on getting a better understanding of the timing and the size of the initial orders for DSUVIA. We're currently forecasting some preliminary orders in the Q2, Q3 timeframe, but believe larger orders will begin in the Q4 timeframe when the federal government's new fiscal year begins. At this point, we expect that initial stocking orders for the US Army SKOs alone will approximate $30 million over the next three years based on the timing of troop deployment schedules. Needless to say, we're proud to receive this approval which is the result of our long term collaboration with the Department of Defense. This approval will gives us a very strong foundation on which to build. And we expect it will open doors to other branches of the military and will serve as a validation signal to additional areas of the federal and state governments and agencies, as well as further adoption by US military treatment facilities. Specifically, we expect the next step with the Department Defense will be to DSUVIA's inclusion on the Joint Deployment Formulary, which we believe will occur later this year. We'll provide more information as it becomes available, but suffice to say, we're thrilled with this achievement. As previously communicated in April, in response to the COVID-19 pandemic, hospitals and ambulatory surgical centers have restricted in-person meetings with pharmaceutical company personnel. Accordingly year end 2020 REMS-certified facilities and formulary approvals goals to be re-evaluated once COVID-19 restrictions are lifted and there's greater visibility into health care facility access. To give it a bit more color, prior to the impacts of the COVID-19 pandemic, we are on pace to exceed our formulary approvals and REMS-certified facilities goals for 2020. As of April 30 following the initial impact of COVID-19 a number of formulary approvals and REMS-certified facilities was 223 and 221 respectively. While states are beginning to open up in-person access, we have also initiated virtual meetings. We believe that achievement of our original year end 2020 goals for access metrics will be delayed by approximately one quarter. [indiscernible] will provide a better estimate and new guidance once more visibility is available. As a reminder, the combined accelerates AcelRx and Tetraphase teams are currently cross trained and promotion efforts under our co-promotion agreement are underway. As we said before, the acceptance of DSUVIA on the formularies and eventual adoption of the protocols is processed, based on the real world results from health care practitioners using DSUVIA, we remain confident DSUVIA will become a key treatment for the management of acute pain medically supervised settings. Changing a standard of care takes time, but we believe health care practitioners and professionals are beginning to witness to see this transformation of the acute pain management space. Dr. Palmer will not elaborate more on how DSUVIA is being used in real world settings.
Pamela Palmer: Thank you, Vince. We continue to hear feedback about how health care practitioners are using DSUVIA and its benefits to patients, clinicians and health care settings. Physicians are now gathering and analyzing real world data supporting the advantages of DSUVIA and they report the most important aspect of DSUVIA continues to be its unique pharmacokinetics profile. This profile provides a rapid onset of action, extended analgesic duration and lack of cognitive impairment, which clinicians attribute to its dampened peak plasma concentrations and high therapeutic index. The therapeutic index is a measure of safety of a drug and its conducted in animal models. Practically speaking based on the data gathered by two hospitals some important findings have been observed in DSUVIA treated patients. First, a substantial decrease in the time the patient is required to be in the post-anesthesia care unit or PACU. And second, a dramatic decrease in IV opioid requirements in PACU. We expect the studies to be published in full in the coming months. This is truly informative data showcasing DSUVIA in the perioperative setting. Once these critical findings are published, they can be used to educate physicians, hospital administrators, directors of pharmacy and other stakeholders. On previous calls, a plastic surgeon and anesthesiologist and a director of pharmacy have discussed their DSUVIA experience. We thought sharing the perspective of a general surgeon who has substantial experience with DSUVIA and will be the lead author in one of these soon to be published studies, would be useful to the investment community. I am very pleased today to introduce to you Dr. Christian Tvetenstrand, a general surgeon who specializes in bariatric, colorectal and trauma surgery, as well as surgical critical care. He provides patient care at Wilson Medical Center, a United Health Services Hospital in New York where he is the chairman of surgery and director of trauma. Dr. Tvetenstrand began administering DSUVIA to his surgical patient population in February and more recently has expanded his use of DSUVIA to his trauma patients, most notably those who are elderly. Before Dr. Tvetenstrand discusses his observations with using DSUVIA in his surgical and trauma patients, I will cover some safety information about to DSUVIA. The following information is intended for investors, not health care professionals or patients. DSUVIA is a Schedule II controlled substance that may only be dispensed to adult patients in a certified medically supervised health care setting for the management of acute pain severe enough to require an opioid analgesic and for which alternative treatments are inadequate. Risks include, life-threatening respiratory depression, addiction, abuse, misuse, cytochrome P450 3A4 interaction, and risks from concomitant [ph] use with benzodiazepines or other central nervous system depressants. The most commonly reported adverse reactions are nausea, headache, vomiting, dizziness and hypertension. Insufficient data are available on the use of DSUVIA in patients with severe liver or kidney impairment. DSUVIA should be used with caution in such patients due to the importance of these organs in the metabolism and excretion of sufentanil. AcelRx ensures proper use of DSUVIA via physician education and the DSUVIA risk evaluation mitigation strategies or REMS program. DSUVIA is only available to facilities that are part of the DSUVIA REMS program. Facilities that administer DSUVIA must be able to manage acute opioid overdose, train relevant staff on DSUVIA and implement policies and procedures to ensure the appropriate administration of DSUVIA. For safety information the black box warning for DSUVIA can be found at DSUVIA.com. Now, I would like to hand the call over to Dr. Tvetenstrand to share his patients and hospitals experience with DSUVIA in managing their acute pain.
Christian Tvetenstrand: Thank you, Dr. Palmer. Hello, all. I'm Dr. Christian D. Tvetenstrandand and I'm excited to tell you about our experience with DSUVIA at our hospital. Of note, I'm not being compensated for my time to speak with you today. However previously I have been compensated for attending an advisory board meeting with AcelRx. I was initially interested in trialling DSUVIA in my surgical patients after learning of the pharmacokinetics of the drug. I often operate on obese patients, elderly patients and patients with multiple comorbidities, all of whom are at higher risk for side effects and complications post-operatively. While we all utilize multimodal analgesia regimens, enhancer [ph] a patient's pain relief and outcomes, we go after major surgery this regimen is going to include opioids. To optimize the opioid analgesia for these at-risk patients, I was especially interested in DSUVIA for its low and steady plasma concentration and extended duration of action. When we use IV opioids, especially fentanyl, we are finding that we have to continually re-dose the patient in the PACU do the short duration of action. The rapid highs and lows of the plasma concentrations following each IV fentanyl injection is not ideal for these patients as they can quickly become confused and over sedated and then the drug levels rapidly fall off and then we have breakthrough pain. Also important my initial decision to utilize DSUVIA in these higher risk patients was the AcelRx clinical trial data which showed no cognitive impairment using the Six-item Screener, a validated research tool and the fact that DSUVIA has no active metabolite very important. Renal impairment quite common after surgery in elderly patients with comorbidities having significantly increase the level of active metabolites in the blood with opioids such as morphine or Dilaudid. These metabolites can quickly build up to levels that can cause central nervous system effects. As mentioned since February I have dosed over 100 patients with DZUVEO [ph] From my surgical patients I dose a single DZUVEO preoperatively approximately 20 minutes prior to bringing them back to the operating room. We have initially focused our use of DZUVEO in outpatient surgeries. This is critically important to maintain clear headedness in these patients so we can facilitate a rapid discharge to home. Patients with post-op confusion or side effects such as nausea and vomiting can significantly delay time to discharge and can seriously impact our surgical patient flow. Most notably the elderly can have severe post-operative delirium with many medications utilized in a perioperative setting including opioids. The first day I dosed DSUVIA in my hospital, I trialled it in four patients undergoing abdominal surgery. These cases typically take an hour or so depending on their complexity. The nurses in the PACU, as well as the anesthesiologists were hesitant to believe that a single dose of DSUVIA would be all that the patient would need for opioid analgesia. To say the results have been quite shocking to some, it's not an overstate. Minim to no other IV opioids are required during the operative case. Normally they would have been delivering multiple doses of fentanyl during and immediately after the case. In the PACU patients are waking up alert oriented and comfortable. Only a few patients have required a second dose of DSUVIA even after lengthy surgery. So the analgesic last an extended period of time as you would expect from a review of the pharmacokinetic. Our overall use of opioids has decreased in these patients, and has freed up the nurses in the PACU to focus more on clinical care of the patient and moving them towards discharge instead of having to administer more IV opioids which we find further extends their stay. We have been collecting time to discharge data on all our DSUVIA patients and there is a dramatic reduction in the time needed for the patients to be ready for discharge compared to our historical controls. We have not seen respiratory depression and we have seen very minimal nausea and no vomiting. It has really been a game changer for us. We are currently in the process of fully analyzing the data for publication, as I believe that other surgeons who’d be quite interested in learning about a new way to treat acute moderate to severe pain in the patient - in the perioperative setting while potentially minimizing side effects, reducing overall opioid dosing and decreasing discharge time. My second area of interest for DSUVIA was for the use in the elderly patients. For years I have observed the elderly with multiple morbidity can decline quite rapidly after acute traumatic event. These patients are initially admitted typically to the emergency department and many times we see them in the winter after slips on the sidewalk with a myriad of hip fractures, hip femur, arm fractures and other types of injuries. In some cases these patients are never discharged back to home and are relegated to a skilled nursing facility. Treatment of severe pain can often require repeated doses of opioids. And as mentioned before most commonly used opioids have active metabolites that can build up over time, especially when renal function is diminished, which is a common finding in the elderly. This results in mental clouding, confusion delirium, which can impair mobility often leading to extended rehabilitation stays. I felt that if we could utilize DSUVIA early on in the treatment of these patients we could avoid this downward spiral. My first night using DSUVIA in the emergency department of a hospital was an eye opener for me. I distinctly remember the first two patients. One was a 93 year old gentleman who had broken his hip and had been dosed with DSUVIA. After I went back to check on him, he was comfortable, he was awake, reading the newspaper and doing the crossword puzzle. That is not something you see every day. The second patient an elderly woman, she too had fallen and broken her hip and she was initially dosed with IV Dilaudid which is a common treatment. The patient was quite confused after the dosing and disoriented and her family was quite concerned. I left the Dilaudid where off for a few hours and then I dosed DSUVIA and lo and behold her pain was quite controlled and she was lucid and her family was quite relieved. These are just two examples of what I've now observed, time and time again with the elderly trauma patients. Overall, not only am I impressed with the efficacy and safety of DSUVIA, but I feel that the DSUVIA has simplified the treatment of acute moderate to severe pain in my surgical and acute trauma patients. Our nurses and anesthesiologists have also recognized the difference, doesn't matter whether patient has an IV or not, whether they're old or young [indiscernible] frail of men renal impairment or not is always the same dose under the tongue that being 30 microgram. While we can redose after an hour, it has rarely been necessary and given all the benefits we have observed the product more than pays for itself. I'm looking forward to expanding our use of DSUVIA in our inpatient, surgical population at the Wilson Medical Center, as well expanding our use in the emergency department. I hope to have DSUVIA added to the formulary at other hospitals where I operate. I am very excited to publish our patient data as it is important to share our experience and knowledge of DSUVIA to benefit other patients, health care providers and hospital systems. Thank you for your kind attention.
Vince Angotti: Thank you, Dr. Tvetenstrand for sharing your experience and I hope those remarks provided some perspective on yet another real world application of DSUVIA. Dr. Tvetenstrand will be available during the Q&A portion of today's call to answer any of your additional questions. I'd like to hand the call over to Raffi to take you through the financials.
Raffi Asadorian: Thanks, Vince. We continue to remain prudent with our cash as we launched DSUVIA. We ended the first quarter with $52.7 million in cash and short term investments, which represents a change of $13.4 million from year end 2019. Our net cash outflow for the quarter was driven mainly by our $13.6 million of cash operating expenses or combined R&D and SG&A expenses, excluding stock-based comp or $14.7 million including stock comp. The operating expenses in the quarter included approximately $1.8 million of non-recurring Tetraphase transaction related expenses. This compared to $10.3 million of cash operating expenses in the first quarter of 2019 or $11.4 million including stock-based compensation. The increase of which was mainly driven by commercial costs related to the launch of DSUVIA. We continue to focus on investing in the areas that will have the most positive impact on the launch and remain prudent in our overall cash spend. Revenues for the first quarter 2020 were $0.4 million compared to $0.3 million in the first quarter 2019. We continued our focus on facilitating healthcare institutions access to DSUVIA, which was slowed beginning in March as Vince noted. DSUVIA sales have also been impacted by the postponement of elective surgeries across the country. Once elective surgeries restart with the increased backlog of surgeries, we believe DSUVIA is well-placed to capture increased volumes, as efficiency becomes even more important in the PACU. Finally, with regards to our sales expectations with the Department of Defense, we remain in close discussions with our project team to better understand order size and timing for the year and the coming years. And as Vince mentioned, our expectations for initial stocking orders for the US Army SKOs alone will approximately - approximate $30 million over the next three years based on the timing of troop deployment schedules. And then on top of that, we could see additional orders from the Army, other branches of the military and also other federal and state agencies, as they see the military's approval and use of a DSUVIA. Our high volume packaging line that is expected to be installed and operational at our contract manufacturer later this year has been somewhat delayed due to travel restrictions from COVID. We expect these restrictions to be eased later this year, paving the way for final acceptance of the equipment which will significantly reduce our cost of production once commercial production is running on this line. To meet the timing of volume demands from the DoD, as well as commercial customers, we are evaluating alternatives to accelerate final acceptance tests from the equipment manufacturer. Our 2020 quarterly cash operating expenses for the rest of the year, excluding impact from the Tetraphase acquisition are expected to range from $9 million to $9.5 million, which excludes stock-based compensation or $10 million to a $11 million including stock-based compensation. We expect to provide updated guidance following consummation of the acquisition. Finally, we remain in discussions with our potential out licensing partner for DZUVEO in Europe and hope to have more to report here in the coming months. We are also in discussions with potential U.S. collaboration partners around marketing and distributing DSUVIA to non-core customer specialties, such as oral and plastic surgery in the US. In addition, we've continued our business development focus and are in active discussions on in licensing assets that are complementary to our existing portfolio with potential to add significant value to the business. Finally, we are still evaluating the timing of our Zalviso NDA resubmission which we delayed pending further guidance from the FDA regarding a potential new opioid product approval framework. We hope to have more details on these opportunities in the near future. With that, let me turn the call back over to Vince.
Vince Angotti: Thanks, Raffi. So to summarize, we continue to strongly believe in DSUVIA’s benefits and long term success in the market, as well as its ability to change the standard-of-care for acute pain management medically supervised settings. We were only three quarters in the launch of DSUVIA with our full sales team before COVID--19 hit, at that point we were exceeding our access metrics. So we expect that trend to continue once restrictions are lifted. As you've heard, the early feedback in the health care practitioners dosing DSUVIA is positive. We look forward to the publications about the data showcasing DSUVIA in the perioperative setting. Finally, we're excited to receive Milestone CE approval paving the path for DSUVIA you to support modernizing acute pain management within the military. This DoD revenue stream bought a foundation for our business and as a catalyst as we continue to launch into hospitals and ambulatory surgery centers. Before going Q&A, I I'd just like to note, that we won't be commenting further on the La Jolla bid [ph] for Tetraphase beyond what we have said in our release. So we ask you to limit your questions to our first quarter results and other business updates. And I'd like to open the line for any questions you might have. Operator?
Operator: [Operator Instructions] First question comes from Brandon Folkes of Cantor Fitzgerald. Please go ahead.
Brandon Folkes: Hi. Thanks for taking my questions and congratulations on all the progress during the quarter. Could you perhaps just elaborate where in the hospital you are seeing useful DSUVIA, perhaps even what type of surgeries you're seeing it being useful? And then on the flipside of that, where do you see opportunities within the hospital or ASC [ph] And what type of surgeries do you think in those settings are best suited for the DSUVIA? Thank you.
Pamela Palmer: Sure. Well, I can tell you and I'll have Dr. Tvetenstrand, add on his comments afterwards. But the wonderful thing about opioids is that they really treat all types of pain well, whether it's a bony orthopedic pain, soft tissue pain, even nerve injury pain, all responds well to opioid medication. So there really isn't a limit to the type of surgery that you can utilize with DSUVIA. But DR. Tvetenstrand, would you like to further talk about your experience?
Christian Tvetenstrand: Oh, yeah absolutely. I am an advanced laparoscopic surgeon, minimally invasive surgery. A lot of our procedures are same day operation, so we do a lot of laparoscopic cholecystectomy’s, laparoscopic hernias, these are the most common procedures in the United States. And this is where we principally started, I started looking at these patients and those results that we discussed. But other areas I was able to use it on patients with significant comorbidities, patients that I thought might have to go to the ICU after the surgery for ventilatory [ph] care with severe COPD emphysema if you will. And I was stunned, absolutely stunned with the cases that I did with these types of patients, that they woke up so cleanly, comfortably without any respiratory depression. I was able to keep that patient out of the ICU and she had a comfortable experience in the hospital and went home much quicker than I would have anticipated otherwise. So as Dr. Palmer said, there's many areas in a hospital and there's - our recipes are chomping [ph] at the bit to start using this drug where there are cases when - a lot of their cases are same day procedures as well and they want to clear these patients out of the PACU as quickly as possible. So - and then of course the emergency department has a whole plethora of areas where pain needs to be treated.
Vince Angotti: Thanks, Dr. Tvetenstrand. Brandon, I hope that helped. And just to add some additional color to Dr. Tvetenstrand In general the early adoption of it throughout the United States we're seeing relative to the hospitals is the same day or outpatient surgeries, which is mimicked often in the ASCs based off perioperative [ph] surgeries they're doing which are typically an hour to two hours and they're looking for obviously same day discharge and efficiency matters they keep the patient flow moving. Brandon, I hope that answered your question?
Brandon Folkes: It did, very well. Thank you very much and congratulations on all the progress again.
Vince Angotti: Thanks. Thanks, Tvetenstrand.
Operator: The next question comes from Michael Higgins of Ladenburg Thalmann. Please go ahead.
Unidentified Analyst: Hi. This is Edward Marks on for Michael. I appreciate you guys taking the questions. So in regards to the military advancements that you were talking about, I'm just wondering what other branches are you looking to approve in order DSUVIA and when might we see some of those further movements from those branches? And then kind of relatedly, we believe that through NATO the U.S. military has a reciprocal ordering relationship for something like medical equipment. Just wondered when might some of the other countries or organizations like NATO begin to maybe use DSUVIA?
Vince Angotti: Yeah. Thanks, Evan [ph] for the question. So I'll just add a little bit of color to that. So that the positive out from the Milestone C really signals the completion of the project and its transition implementation. I think relative to your question, this transition now allows for DSUVIA to be added to the joint deployment formulary. So we expect that over the next few months. So not only will the U.S. Army include DSUVIA in their SKOs as initial orders from other branches of the government will be able to add DSUVIA into their medical kits for deploying troops as well. We haven't accounted for that and the estimates we've provided to you. Those two events the Milestones C approval and the addition of the JDF will serve - we believe this validation signals to other state federal agencies, examples might consider as the FBI, U.S. Marshals, U.S. Border Patrol et cetera. So we think the other branches will happen post the deployment formulary which we expect to happen in the next two to three months. Relative to NATO and reciprocal ordering, we've been really focused on the US and getting through the Milestone C approval and supporting them. But we do believe that that will be an opportunity moving forward as well. To quantify that, we haven't been - we haven't generated those estimates yet, but that is certainly an opportunity moving forward. And good catch.
Unidentified Analyst: Excellent. Good to hear. And then when you talk about those estimates, particularly with the $30 million. Just wondering if some of the assumptions around maybe a ramp occurring over this year and through the next three years, something like $3 million to $5 million in the second half of this year maybe $10 million in ‘21 and the rest of the balance in ‘22. Does that sound accurate?
Raffi Asadorian: Evan this is Rafi. So we need to wait to get those estimates from the military because it's based on obviously confidential information on the joint - on the deployment schedules. So that $30 million just keep in mind is also - those are initial stocking orders, that is not from use or anything. So that is just to have initial pack outs, on top of that would be the actual use you know to replenish. And again that's just for the army SKOs. But we need to wait to get the actual, how much is that going to be, you know, split evenly per year, is it going to be front loaded. We don't - we don't have that that information yet because it's on deployment schedules that we're not privy to.
Vince Angotti: I think I think in the meantime, just to add a little additional color, as Raffi mentioned, repeat ordering is not considered in that, that will depend on the medics use to depend on if there is a conflict area on the amount of use et cetera. You should know that in the short term there is planned training for medics at the Army schoolhouse that will be done by the military happening in the very near future and our accelerates federal counts team we'll be facilitating training for the brigade and battalion surgeons and field hospital personnel as well. So there's a lot of activity around the product throughout the Army.
Raffi Asadorian: Yeah just to add this was - so this is going into all Army SKO's which was our high case right. This was not in our base case and that was - that was very pleasing to see that they're putting it into all of their sets kids and their outfits.
Unidentified Analyst: Excellent, that's good to hear. And that's all for me. Thank you, guys.
Vince Angotti: Thank you.
Operator: The next question comes from Ed Arce of H.C. Wainwright. Please go ahead.
Thomas Yip: Good afternoon, everyone. This is Thomas Yip asking couple of questions for Ed. First, congratulations on your progress with DSUVIA so far this year and also great to hear more of DSUVIA real life news today. First question about DSUVIA’s potential military stocking order. Should we expect a formal contract? Where very clear outlines stuck in schedule or a purchase that's needed. And how does the JDF expect that way to this year, at any potential impact on that?
Vince Angotti: Yeah, so as they've communicated also to depend on the deployment schedules where they will preorder dependent on those deployment schedules and the pack of the medic kits as those troops are deployed, as it relates to that schedule, we have not gotten the final details of it just kind of the overall over the next three years and that it's fairly significant just for the initial orders. What was the second part of that question Thomas?
Thomas Yip: That's how does JDF change that order I guess for patient?
Vince Angotti: Yeah. So the JDF is part of the process following the Milestone C.. So we expect that to happen in the next two to three months. So with that then allows is for - they're not called SKOs in the balance of the military branches, whether it be Coast Guard, Navy or Air Force we'll just consider them pack outs for their medics, but it opens up the additional three branches which will add significant volume believed to that moving forward.
Raffi Asadorian: And again those are - there's two parts to it. There's the actual stocking orders into all this that gets it off. Then there's the use of DSUVIA, ongoing use of DSUVIA now that it's been approved.
Thomas Yip: Okay. Thank you for clarifying. And my second question regarding to the ongoing REMS certification and formulary review, as you mentioned due to COVID-19 that has been on hold for now. Are there any chance of switching to virtual base channel on both fronts?
Vince Angotti: Yeah absolutely, so we're already starting to see some of the regulations eased as it relates to access for face to face. But we shifted very early to virtual with our key customers pending their availability and what was happening with COVID and their respective geographies making them available or not for those calls. But there's been a solid reception. Just as an example during the last month we had three originally scheduled face to face advisory boards. They were all executed with full attendance and engagement in a virtual manner. So it was a swift shift from in-person face to face to virtual meetings. And I can tell you I was efficient in cost but the engagement was extremely high. We're just beginning our other virtual tactics now beyond the sales team for instance virtual speaker programs are starting this week, that can be national in nature from a webinar perspective and we're also exploring the use of cost centers moving forward in addition to our sales representatives in their communications with these customers. So we are active in the virtual space. We have already converted some of those planned, meetings to the virtual space with very strong results and looking to really create that as part of the norm moving forward.
Thomas Yip: Yes, that sounds good. And then perhaps switching gear to not necessarily for the - for the merger but for a cold promo effort between DSUVIA and DZUVEO [ph] can you ally some early efforts in that co-promo?
Vince Angotti: Yeah it is early I'll highlight, just to give you a background on the timing. So when we announced the merger agreement, I think it was now about five weeks ago, during that course of the week we restructured our teams in the following week we went right into the training for DSUVIA and following that we went right into the complementary training for DZUVEO [ph] so that took about four weeks worth of time with our team, where they had breaks that were making their virtual customer calls. So really field penetration has just begun last week for both respective teams co-promoting each other's products and the response thus far has been excitement from both respective teams about the profiles of the products. Again, receptivity from the customers and it's highly geography dependent on access right now, whether you're in Texas or Georgia you might have more access parts of Florida and parts of the northeast you might have less access. So it's variable related to that on the face to face but the engagement high, the training was done at a very high level and the energy has been strong from the combined team.
Thomas Yip: Good to hear. Thank you for taking our questions and looking forward to see more progress this year.
Vince Angotti: Thank you, Thomas.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Vince Angotti for any closing remarks.
Vince Angotti: Thank you for joining us today and for your continued support at AcelRx. It was very important news for us and the milestone see over the course of this past month, really not only creating a base or a foundation for our company moving forward with the initial ordering by the army, but pursuant to that belief that that will open up the other branches of the military and only expand our base of business moving forward. We believe that provides further validation and even in the non-military for our civilian accounts as well based off of our government's backing of the product and use of it for our people. That being our military personnel. So thank you for joining us today and your continued support at AcelRx. We look forward to sharing more developments with you in the future and we hope you all remain safe. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation you may now disconnect.+